Operator: Good day and thank you for standing by. Welcome to GlobalFoundries Conference Call to review its Third Quarter Fiscal Year 2022 Financial Results. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your host today, Sukhi Nagesh, Head of Investor Relations. Please go ahead.
Sukhi Nagesh: Thank you, operator and good morning, everyone and welcome to GlobalFoundries third quarter 2022 earnings call. On the call with me today are Dr. Thomas Caulfield, CEO; and Dave Reeder, CFO. A short while ago, we released GF's third quarter 2022 financial results which is available on our website at investors.gf.com, along with today's accompanying slide presentation. This call is being recorded and a replay will be made available on our Investor Relations web page. During this call, we will present both IFRS and adjusted non-IFRS financial measures. The most directly comparable IFRS measures and reconciliations for adjusted non-IFRS measures are available in today's press release and the accompanying slides. I would remind you that these financial results are unaudited and subject to change. Certain statements on today's call may be deemed to be forward-looking statements. Such statements can be identified by terms such as believe, expect, intend, anticipate and may. You should not place undue reliance on forward-looking statements. Actual results may differ materially from these forward-looking statements and we do not undertake any obligation to update any forward-looking statements we make today. For more information about factors that may cause actual results to differ materially from forward-looking statements, please refer to the press release we issued today as well as risks and uncertainties described in our SEC filings, including in the section under the caption Risk Factors in our annual report on Form 20-F filed with the SEC on March 31, 2022 and on our 6-K filed with the SEC on August 19, 2022. We will begin today's call with Tom providing a summary update on the current business environment and technologies, following which Dave will provide details on our end market, third quarter results and also provide fourth quarter guidance. We will then open the call for questions. [Operator Instructions] I'll now turn the call over to Tom for his prepared remarks.
Thomas Caulfield: Thank you, Sukhi and welcome, everyone, to our third quarter earnings call. I'm pleased to report very clear results that were better than our August provided guidance as we continue to make solid progress on our strategic and financial priorities. Amidst an increasingly challenging economic environment, our team across our entire enterprise continues to execute. Let me begin by providing a brief update on the current business environment. Given the increasing macroeconomic and geopolitical uncertainty, we continue to work closely with our customers to monitor end-market demand. Since the beginning of the quarter, some of our customers have requested to modestly adjust some of their 2023 shipments downward, particularly with respect to the first half of 2023. Based on the current macroeconomic environment and our customer discussions, we are proactively taking actions to contain costs and to accelerate our previously planned productivity initiatives. Though it is difficult to take these actions during a year of record output. We believe that taking these actions now enables us to continue to outperform the market regardless of the economic environment. David will provide more details about these activities on his commentary. Long-term GF's growth drivers remain intact. Our aggregate LTAs have increased from the prior quarter as the number of customers under long-term agreements has grown from 36 to 38, with the total value of these long-term agreements now slightly above $27 billion. Additionally, the amount of committed prepays has increased 6% from a quarter ago, to approximately $3.8 billion. Also and as expected, our long-term agreements are providing a strong framework for us and our customers to have balanced and constructive demand discussions. As an example, a recent LTA amendment resulted in a modest underutilization cash payment and ASP increase on existing demand and an additional year added to the contract's duration. A great example of the benefit of the long-term agreement structure. Now let me give you an overview of third quarter. GlobalFoundries revenue grew 22% year-over-year, driven by increases in both wafer shipments, richer mix and ASPs. This revenue growth, coupled with strong operational execution, resulted in continued improvement to adjusted gross margin. We reported adjusted gross margin of 29.9% in the quarter, a 12 percentage point improvement from the year ago period. As a result, we delivered earnings per share of $0.67 which is better than the high end of our guidance range. Again, Dave will provide more color on our financials in a moment but let me now provide a brief update on our recent technology achievements. In the third quarter, we completed 5 technology qualifications. Notably, this included a 12-nanometer LP customer-specific technology covered under a 5-year long-term agreement. Also among the qualifications is the customer's proprietary automotive 40-nanometer embedded non-volatile memory product for one of the largest automotive MCU suppliers in the industry. This qualification now allows us to ship this product from both our Dresden and Singapore facilities, establishing a high-volume secure supply chain for the automotive industry. Within the quarter, we also tapped out 5 new customer products on our silicon photonics platform. This included a photo IC device, fully monolithic co-packaged optics for GPU-to-GPU 2 terabit optical interconnect. Finally, we have successfully produced a high-performance RF GaN device with our through-silicon via technology. We now have demonstrated performance that exceeds silicon HBT technologies and as I previously mentioned, integrates a novel through-silicon via solution to optimize power amplifier output and efficiency. In addition, we have sampled GaN power devices to early engagement customers. Both programs are being executed in our Burlington, Vermont facility, where we recently received a $30 million grant from the U.S. government as part of the commercialization funding for this GaN RF technology offering. To summarize, I'm pleased to report another quarter of solid execution as we delivered to all our customers and to all our stakeholders. We are on track to have a strong year of growth in 2022. And given the strength of our product portfolio, the breadth of the markets we serve and the single-source nature of our business, we are well positioned to navigate the current challenging macroeconomic environment. With that, over to you, Dave.
Dave Reeder: Thank you, Tom and welcome to our third quarter earnings call. For the remainder of the call, including guidance, I will reference adjusted metrics which exclude stock-based compensation. Our third quarter results exceeded the high end of the financial range we provided in our last quarterly update. Third quarter revenue was approximately $2.074 billion, an increase of 22% year-over-year. We shipped approximately 637,300-millimeter equivalent wafers in the quarter, a 5% increase from the year prior period. Average selling price, ASP, per wafer increased approximately 14% year-over-year, driven by ramping long-term customer agreements with better pricing as well as continued improvement in product mix. Wafer revenue from our end markets accounted for approximately 90% of total revenue. Non-wafer revenue which includes revenue from reticles, nonrecurring engineering, expedite fees and other items accounted for approximately 10% of total revenue for the quarter, consistent with our expectations. Let me now provide an update on our revenue by end markets. Smart mobile devices represented approximately 46% of third quarter revenue, growing approximately 12% year-over-year. Growth was driven by higher ASPs and better mix as we continue to increase our silicon content in the premium tier handsets. In our RF front-end modules, despite the well-known and ongoing inventory correction in handsets, we are executing well and expect mid-teens full year growth in the premium segment, offset by declines in the low and mid-range segments. Our long-term customer agreements are helping us navigate the challenging demand environment by reducing volatility. We continue to maintain market share in premium tier handsets and are currently developing next-generation technologies that will improve performance through better switch, LNA and digital integration. Furthermore, in the 5G sub-6-gigahertz RF transceiver market which is a new market for GF, we expect to see robust growth in 2022, driven by the adoption of our products by a leading handset chip customer. Another new market is WiFi RF SoC where growth is driven by our solutions going into premier handset models in support of WiFi 6, 6E and WiFi Mesh networks. Our image sensor processor business also grew strongly in the quarter as we continue to partner with industry leaders and stacked logic technologies for low-power solutions as they become increasingly important to support low-light resolution applications. Our smart mobile device audio business is also growing strongly this year, driven by our differentiated 55 BCDLite solutions. GF's BCDLite solutions address specialty power applications such as display, wireless charging and battery management by providing higher efficiency, lower leakage and improve noise performance. Moving on to home and industrial IoT. Revenue for the home and industrial IoT market grew approximately 83% year-over-year, representing 19% of total revenue. Strong year-over-year growth in this end market was driven by wafer volume growth of almost 40%, with the remainder the result of better ASPs and improved mix. Within this end market, we saw continued growth in smart card solutions and wireless connectivity, driven by our differentiated 28-nanometer and 22 FDX technologies. We also saw broad-based growth in power management in the quarter. We remain on track for home and industrial IoT to be the fastest-growing end market for GF in 2022. Touching next on automotive. Revenue in this market was approximately 5% of our total third quarter revenue. The automotive end market has been one of the brighter spots in the market. We expect our growth to continue as we bring to market new MCUs and safety applications, radar for sensing and power management for electrification. Based on our current design wins, we anticipate continued growth in our automotive business in 2023 and we expect the business to exit 2023 at a $1 billion annualized run rate. Next, our communications infrastructure and data center end market comprised approximately 18% of third quarter revenue and grew approximately 29% year-over-year. Growth was evenly split between higher shipments and better ASPs and mix. Our strongest year-over-year growth continues to be in the data center submarket closely followed by wired infrastructure and storage. Our customers are continuing to grow market share in this segment and GF is contributing by providing critical connectivity and IOD [ph] components. Finally and as expected, our compute end market declined year-over-year and comprised approximately 2% of third quarter revenue. We expect this end market to be less than 5% of our total 2022 revenue. Moving next to gross profit. For the third quarter, we delivered adjusted gross profit of $621 million which translates into approximately 29.9% adjusted gross margin. The 12 percentage point year-over-year improvement was driven by better fixed cost absorption, higher ASPs and improved mix. Approximately 80% of this improvement was attributable to ASP and mix, with the remaining 20% attributable to volume and fixed-cost absorption. Operating expenses for the third quarter were slightly better than expected and represented approximately 11% of total revenue. R&D for the quarter was up sequentially at approximately $118 million, while SG&A came in at $114 million. Total operating expenses were $232 million excluding $21 million of stock-based compensation. GF delivered operating profit of $389 million for the quarter which translates into an approximately 19% adjusted operating margin, roughly 14 percentage points better than the year ago period and $8 million higher than the high end of our guidance range. Third quarter net interest expense was approximately $11 million and we incurred a taxed expense of approximately $19 million in the quarter. We delivered third quarter adjusted net income of approximately $368 million, an increase of approximately $334 million from the year ago period. As a result, we reported adjusted diluted earnings of $0.67 per share for the third quarter. We delivered record third quarter EBITDA of approximately $793 million. Adjusted EBITDA grew $288 million year-on-year on $374 million of incremental revenue growth, representing approximately 77% fall-through. Let me now provide some key balance sheet and cash flow metrics. Cash flow from operations for the third quarter was $679 million. Gross CapEx for the quarter was $613 million or roughly 30% of revenue. At the end of the third quarter, our combined total of cash, cash equivalents and marketable securities stood at approximately $3.5 billion, an increase of roughly $200 million from the previous quarter. Next, let me provide you with our outlook for the fourth quarter. We expect total GF revenue to be between $2.05 billion and $2.1 billion. Of this, we expect non-wafer revenue to be approximately 11% to 12% of total revenue. We expect adjusted gross profit to be between $595 million and $630 million. Included in this guidance is a sequential reduction in capacity utilization, particularly with respect to our 200-millimeter fabs. The expected reduction in the fourth quarter wafer starts which support first quarter revenue decreased our gross margin guidance range by approximately $50 million. We expect adjusted operating profit to be between $365 million and $420 million. Excluding share-based compensation for the fourth quarter, we expect total OpEx to be between $210 million and $230 million. At the midpoint of our fourth quarter guidance, we expect share-based compensation to be approximately $36 million, of which $13 million is related to cost of goods sold and approximately $23 million is related to OpEx. We expect net interest and other expense for the quarter to be approximately $2 million and tax expense to be roughly $22 million. We are also on track to close the sale of the East Fishkill facility at the end of the year. As a result, we expect to record a gain on sale in the fourth quarter that will be in the range of $350 million to $400 million. Excluding this onetime gain on sale, we expect adjusted net income to be between $337 million and $400 million. On a fully diluted share count of 554 million, we expect adjusted earnings per share for the fourth quarter to be between $0.61 and $0.72. Including the onetime gain on sale, we expect adjusted EPS to be between $1.24 and $1.44. For the fourth quarter, we expect D&A to be about $405 million, of which 90% is related to the cost of goods sold. We expect adjusted EBITDA to be between $770 million and $840 million. For the full year 2022, we now expect total gross CapEx to be between $3 billion and $3.3 billion, impacted primarily by the well-known delays in capital equipment. Despite the delay, we are on track to meet all of our material customer commitments for the year. As we look forward, we will be working closely with our customers and partnership and we'll provide an update on our 2023 CapEx at the end of the year. While we have tightly managed expenses over the past year, we are nevertheless paying close attention to the uncertain macroeconomic conditions and to our customers' recent commentary regarding 2023 demand. We are working closely with our customers to monitor demand. And as Tom mentioned, we are proactively containing cost and accelerating previously planned productivity initiatives. Though we are still sizing these initiatives, we expect them to deliver annualized savings of approximately $200 million, the majority of which will be in OpEx. 2Neither these savings nor any related onetime charges are incorporated in today's guidance. We will provide you updates on these initiatives as appropriate. To summarize the quarter, strong operational execution enabled us to deliver third quarter results that were significantly better than the high end of our guidance range. We are continuing to execute the strategic plan we outlined to our stakeholders at IPO and we are proactively taking action to position the company to outperform irrespective of macroeconomic conditions. With that, let's open the call for Q&A. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Harlan Sur with JPMorgan.
Harlan Sur: Great job on the quarterly execution and strong profitability. The industry's softness will be, I think, a good assessment, right, of the team's technology and portfolio differentiation. So if I look at your total revenue pipeline, LTAs, renegotiated LTAs, standard book and ship and even current negotiations on new business; I know that you guys were previously anticipating overall pricing to be up next year. But obviously, given the challenging and changing demand dynamics, maybe you guys can just articulate what the overall pricing profile now looks like for 2023? And then I have a follow-up.
Dave Reeder: Good morning, Harlan. I'll start on that one and then maybe, Tom, you can add some color. We believe that we're still in a relatively constructive pricing environment, particularly with regards to our LTAs. Average selling price per wafer, as you've seen, has increased again this quarter, that's 6 consecutive quarters of sequential increase, really consistent with our previous commentary. Based upon what we see, we continue to expect modest pricing increases into 2023. Tom, anything you'd add?
Thomas Caulfield: Yes. I'll try to add a little bit more strategically. When we look at the assessment, I think to a company, we're all aligned that we're still going to double in the next -- double this industry by the end of the decade. When we look at the market opportunity in our SAM, we see that market opportunity growing but more importantly, where differentiation matters where we can continue to drive our single-source business, create differentiation to create value for our customers and capture for ourselves. We see that market in excess of $20 billion of really specialty type of applications that we can go out and win. So as long as we continue to focus on our execution of our R&D road map, understanding the end markets we play in, differentiating to support those end markets. I don't think this is the end of that ability for us to continue to capture value for our business as we work through this macro environment.
Harlan Sur: And then given the lower demand profile of your customers in the industry, it's clear, obviously, as you said as well, next year will be challenging. I assume it's too early for the team to articulate a full year 2023 view on wafer shipment to revenue. So maybe if you could just help us think about a framework for the gross margins next year, right, with utilization is most likely coming down but with many positive offsets like increasing wafer pricing, as you just mentioned, you've got the East Fishkill transition and continued depreciation roll off. So give us the framework for how to think about gross margins.
Dave Reeder: Sure. Maybe -- as you know, Harlan, we guide one quarter at a time but maybe I could broaden out the way we think about what we need to focus on as we head into perhaps times that are perhaps more challenging. When times are more challenging, you tend to focus on the variables that you can control. And when we sit down as a management team and we think about those variables, the first one is the one that Tom mentioned, differentiation. So we've realigned the company to be more focused with respect to product management, development of differentiated technology. We believe we're making progress towards being more differentiated. We had another quarter, about 90% of our design wins were single sourced. We're about 90% for the year, year-to-date, on design wins being single source. So we feel like we're making good progress there. With respect to pricing, as Tom mentioned, we have seen pricing increase this year sequentially. We think it's going to modestly increase next year. We think that's directly correlated to our ability to differentiate cost containments. You heard on the prepared commentary that we're aggressively controlling discretionary spending, travel, entertainment, professional services. We're accelerating some of our previously planned productivity initiatives. And then finally, CapEx, we can control the rate and pace of our growth. We're moderating our CapEx to better match our customers' demand forecast, while we're also considering our free cash profile. So ultimately, we believe that, that helps us control the utilization, we believe that's directly correlated to gross margin. And so we're focusing on the things that we can control. We feel like we had a pretty good third quarter and we feel still quite optimistic for the future.
Operator: Our next question comes from the line of Ross Seymore with Deutsche Bank.
Ross Seymore: Tom or Dave, one for you on linearity of demand. Obviously, we've seen what a lot of your fabless customers had to say, third quarters were generally okay but fourth quarter guides were pretty darn weak. I know you talked about utilization coming down but any additional color on the linearity of demand that you've seen during the third quarter and thus far in the fourth quarter?
Dave Reeder: Sure. I think with respect to linearity, Ross, you see that's -- in our guide, we've guided from $2.05 billion to about $2.1 billion. At the midpoint, that would be relatively flat on a quarter-to-quarter basis. I think if you were to rewind a couple of quarters, we would have expected a little bit more growth sequentially from third quarter to fourth quarter. So I think you're seeing the impact of some of those customers that have reduced their future demand. With respect to linearity into 2023, as you know, we guide one quarter at a time. But as you've heard from many customers, as we're hearing from our customers, we think the first half of 2023 is probably the trough based on what we're hearing. It's probably more likely than not the first quarter but we continue to refine and assess that demand based upon our collaboration with customers.
Thomas Caulfield: And I'll just add 2 points to that. One is our underutilization is predominantly and I mean predominantly our 200-millimeter, not our 300-millimeter facilities. And even with all of that, we still expect 2023 to be a modest up year for us.
Ross Seymore: And Tom, just a clarification there. Do you mean that on the revenue side or the wafer output side or both?
Thomas Caulfield: I'm talking revenue for 2023 [ph].
Ross Seymore: And then I guess for my follow-up, the big picture question people obviously have is with the direction macro is going and I appreciate the color of the bottoming in the first half of the year. But I want to dig deeper into the LTAs. It's good to see that they're expanding in both their magnitude and the number of customers that you have but people still wonder about the value of those LTAs. So talk a little bit about the framework, what it's allowing you to do? Is the value that you're holding customers to the exact amount they at one point agreed to? Or is it more so that it allows a framework for negotiations on expanding longer term? Just trying to figure out the value of the LTAs and what gives you comfort in that view for 2023 given the macro trends right now?
Dave Reeder: Yes. Really, I'd kind of direct it back to -- the question back to Tom's prepared commentary. And really, I'll use as an example, probably the most recent amendment that we've made to an LTA. So we had a customer that reached out to us about revising downward their demand a little bit in the fourth quarter. And then subsequently in 2023, most of it kind of centered up on the first half. When we sat down to talk to that customer and as we said previously, the LTA provided a framework of tools such that we can engage with each other in a pretty constructive way and as Tom mentioned in his commentary, the ultimate outcome of that collaboration was that we had a capacity underutilization fee. We also had increased pricing for the remainder of the demand in 2023 and then we had the appending of demand and the extension of the agreement by an incremental year that extended that contract. I believe it was out into 2026, that extra year. And so that would be an example of the LTA framework, enabling both parties to sit down in a constructive way to handle not only short-term perturbations but also to continue to handle what we see as long-term growth in the industry, handled that in a very constructive manner.
Operator: Our next question comes from the line of Joseph Moore with Morgan Stanley.
Joseph Moore: I wonder if you could talk about the utilization shift that you talked about. And did I hear you right, there's a $50 million impact in Q4. I guess, wouldn't the impact be closer matched to the revenue impact? And I guess, is there something specific that's sort of driving you to take that action?
Thomas Caulfield: Sure, Joe. Specifically, what we were trying to articulate with the prepared commentary was the gross margin range would have been $50 million higher if we had continued to run at kind of full utilization like we were running at in prior quarters. The reason you start to see an impact in the fourth quarter is because the wafers that are started in the fourth quarter are essentially a lot of the wafer outs that are in the first quarter but you start to accrue those underutilization charges in the fourth quarter, they start to impact that particular period. And so that's why we commented that we would have had a range that was essentially $50 million higher on the gross margin line if that underutilization did not occur or was not occurring. Did you have a follow-up, Joe?
Joseph Moore: Yes. I think in terms of bigger picture, can you talk about conversations that you're having with people that aren't under LTA, to the extent that you might have some capacity free up here. I would assume that there's a lot of people with automotive and industrial type businesses that are really interesting to you that sort of would want to work with you. Is there opportunity around that? And do you see opportunity to potentially sort of reposition some of the smartphone stuff over towards automotive, industrial?
Thomas Caulfield: That's absolutely the case. There's still strong strength in auto, you're hearing that across the board. And we're opportunistic. Many of our technologies that we support, smart mobile devices, 40-nanometer with embedded memory, our BCD technologies, using it as an opportunity to remix towards auto. The key here is to make sure that we sell every wafer we can, we sell where we're the most differentiated as we honor our LTAs. And so we're constantly looking to optimize our business to match the demand across the different end markets and leveraging the ability to not only do a 1-for-1 replacement, a 40-nanometer part with another, what we call fung our capacity. If we have more demand on 55-nanometer how can we fung our 40-nanometer corridor to make more 55. So that's a constant balancing act we do with our team and being very proactive to the markets we can serve.
Operator: Our next question comes from the line of Vivek Arya with Bank of America.
Vivek Arya: In the scenario of sales being, say, modestly up next year, how should we think about gross margins? Can they continue to increase? And what will be the benefit that you might see from the East Fishkill fab exit?
Dave Reeder: Yes. So -- so as we mentioned, Vivek, we do believe that pricing will be modestly up next year. We believe that we have the opportunity based upon what we currently see to have revenue growth that's modest next year. I'm not going to provide guidance on gross margin. But clearly, what you're seeing from us is you're seeing us proactively position the company such that we can perform irrespective of the market environment. So we are taking actions now to contain costs, both on the OpEx side as well as on the COGS side. And we believe that, that positions us regardless of the market that we enter into. Did you have a follow-up, Vivek?
Vivek Arya: So Tom, over the last few weeks, we have seen a lot more details about U.S. restrictions on China. And I was hoping you could give us a flavor of if your customer discussions have changed in any way? Looking out over the next several years, do you see more customers wanting to engage with GlobalFoundries, given your unique footprint? And then the second part of that is as you look at, especially the automotive market, do you see more customers wanting to engage with you with prepayment? I think you mentioned that you expect your automotive revenue to be $1 billion annualized next year. How much of that is from existing customers, how much of that is from newer customers?
Thomas Caulfield: So yes, let me start with the first part about the geopolitical dynamics and the restrictions out of China. If you recall, GF's exposure to what we call direct business in China is under 10%. And so that end of our business is -- it remains intact. But more so than not, customers are starting to think longer term, how do they get a better balance in their sourcing. And so if you won't see them doing this thing, I have a part that's already in existence. Let me go move it to a better footprint because that's redundant engineering. What we're really starting to see them think about is that next product family. The kind of the design wins that we'll get going forward that will turn into revenue 12 to 18 months later. So I view 2023 to be the year where we'll start to see more and more products come our way for that next-generation product that then become revenue starting 2024 and beyond. And then another dynamic that we're seeing taking place, we talk about single source business. We still have a second source business. But in some cases, we're starting to see customers move us from being the second source to being the prime source, giving us the preferential supply side of that. Again, part of this rebalancing of their supply chain to be a little bit more geographic spread around the globe, which, as you know, as you stated, plays well into GF's footprint. The second part of your question was on automotive. Look, our design wins already in the pipeline get us to that 2023 annualized run rate, David cited in his prepared remarks and you just quoted that $1 billion run rate. But I would tell you, we are engaging -- it's the fastest-growing market for us. We're engaging each and every day. And I think you're going to see coming out of this, a different economic model in the industry where when there's pass-through charges to a very complicated supply chain that automakers will want to play -- have a stronger relationship with foundries so that they don't have to bear the brunt of pass-through of cost that goes through the supply chain and get work done. And I would just tell you to stay tuned on that. And I think this is something we're seeing developing real-time in front of us.
Operator: Our next question comes from the line of Chris Danely with Citi.
Chris Danely: So can you just provide a little more color on the pushouts and cancellations you're getting for next year? Maybe talk about which end markets and what the total, I guess, amount has been?
Dave Reeder: Sure. I'll try to provide the amount of color that I can. Obviously, we need to steer clear of any particular customers or any sensitive information. But when we sit down with our customers and let's characterize it as a handful of customers. So we've got about 38 LTAs now up to from last quarter. We've sat down and had discussions with a handful of our customers to really look at their forecasted demand for 2023. And I think the first thing that I would note is that these LTAs are all multiyear in length. In fact, the duration is probably sitting closer to 4, maybe slightly over 4 years right now. And so we're not talking about the entire LTA. We're talking about one period, on near-term period, specifically -- seems to be specifically more related to the first half at this stage of 2023. And so those discussions tend to be centered up around end markets such as smart mobile where, as you know, there's an inventory correction underway. The high end of that market still seems to be holding up fairly well. The low and the mid-tier of that market tends to be undergoing some inventory correction. I would say that's the largest segment that we've had discussions on. I think most of the customers, that handful of customers have tended to be more centered up on that space, the discussions have been quite constructive. The LTAs continue to remain intact in that framework that we discussed earlier and those variables involved in that framework have all been tremendously helpful towards that collaboration. Did you have a follow-up?
Chris Danely: Yes. What's the total impact? So how much revenue is getting pushed out or canceled? And maybe talk about how many LTAs have been renegotiated so far and what the total amount of dollars has come out of them?
Dave Reeder: Well, I would say that -- I would characterize the total LTA dollar amount as essentially being the same, if not slightly more.
Chris Danely: For next year?
Dave Reeder: No, for the total length of the contract. So we look at these engagements as multiyear in length. I think what we'll comment on for next year is the commentary that we've already provided. And that is that we expect 2023 based upon what we currently see, we expect 2023 to continue to be a modest growth year for us.
Operator: Our next question comes from the line of Krish Sankar with Cowen.
Unidentified Analyst: This is Steven [ph] calling on behalf of Krish. First question for Tom, maybe just in terms of the change of millimeter wafer demand that you're seeing in the near term, so I totally understand that a lot of that weakness might be driven by the smart mobile end market segment. I was wondering if you could also talk a bit more about how communications as well as data center and also industrial demand for wafers is playing out in the near term here? Is that still holding up fairly well? Or do you also see some demand indicators of softening exiting this year as well?
Thomas Caulfield: Look, I think the only end market that continues to outperform is auto. I think we're seeing that. Our customers are seeing that. When you look at some of the growth we've had year-over-year, like at industrial and home IoT, over 80% growth, that's not a sustainable growth rate, right? There probably aren't enough wafers in the world to do that for a decade. But so even though that growth will slow down, it's still a growth opportunity for us. These are important end markets. So I would tell you that growth still is strong. I think there's the potential for the auto to be the one that never really goes through a cycle in this cycle and it comes out even stronger. And then the rest of them will go in order. I think this is a -- little bit of a lumpy. Not everything went down at once, certain end markets, memory on PCs went kind of first and then others followed. And they'll come back out in that order. And for us, it's more about making sure that we stay focused on leveraging our capacity in the end markets where there's demand, figuring on how to fung the capacity, do multiple qualifications like we announced in the prepared remarks so that we can use all our capacity to where the demand is. And that's where we keep our focus.
Unidentified Analyst: Great. One quick one for Dave on the OpEx or cost reductions. I think you mentioned the sort of annualized cost savings run rate of about $200 million. I was wondering if the time line to reach that cost savings run rate is sort of in the next couple of quarters? Or is there possibly some flexibility on when you hit that run rate depending on how the macro [indiscernible] plays out next year?
Dave Reeder: Sure. We're moving pretty aggressively on the cost containment activities and of the annualized $200 million, I think our expectation would be to try to get at least half of that next year, if not 3 quarters. So that's the way we're currently thinking about it.
Unidentified Analyst: Congratulations on the strong results.
Dave Reeder: Thanks, Steve.
Operator: Our next question comes from the line of Mehdi Hosseini with SIG.
Mehdi Hosseini: Yes. A couple of follow-ups. I'm wondering if there is any update on the chips -- if there's any update on the CHIPS Act that you can share with us?
Thomas Caulfield: Yes. I guess I'll expand your question, what is GF doing with the CHIPS bill? If you roll back to our earnings call last quarter, it was on the actual day the President signed the CHIPS bill. And then the U.S. government is off to the races to figure out how to go deploy this money in a meaningful way to get the outcomes they were looking for. From a GF perspective, we will not put capacity on without customers committed to that demand. And so we're working in parallel, putting our proposal together with the RFPs that will come -- go into Washington in the early part of 2023, in parallel working with our customers to aggregate the type of demand we would need to commit to that kind of build-out. And for us, we think of using the CHIPS bill in kind of 3 buckets. The first is to fill up the expansion of our existing facility in Fab 8 and Malta, New York. The second one would be to create some extra capability of technology in our Burlington, Vermont facility. And then lastly, the longer range play is to go add a modular expansion, new brick-and-mortar, new clean room space in Fab 8 in Malta, New York. And so that's the order which we think about how we would go add this capacity. The rate and pace at which we do it will be dictated by how quickly our customers are looking for us to create this capacity for them as they think about rebalancing their supply chains and bringing some of that product to the states. I call it the $52 billion question. Because the $52 billion in the CHIPS bill is solving one part of the equation that's going to help create the capacity. The other part of the equation is making sure that the demand finds its way back to the U.S. And that's the part we're all working on now to make sure we can go secure that demand, that certainty of business so that we make these investments with confidence and we make these investments with the right returns that any business would want. Any other follow-ups to that?
Mehdi Hosseini: Actually, I do. I think the bigger part of the CHIPS Act that would make the U.S. cost comparable to Italy is the tax credit. And given the NOLs, I think we're all waiting to get more color as how GF would benefit from the dollars of allocation outside of the CapEx rebate. And I'm wondering if there's an update there.
Dave Reeder: Yes, the investment tax credit, as we read it, is pretty straightforward. And so those are any investments to increase domestic capacity. That tooling and those investments will be available to have a 25% rebate essentially during the next tax filing season. And that rebate is applicable regardless of your net tax paying status. So our belief is that we will be able to leverage those investment tax credits to accelerate our investments in the U.S. And so while we haven't incorporated any of that into our current numbers, we do have a plan to leverage that opportunity.
Mehdi Hosseini: I see. And then can I actually have one other follow-up question that has to do...
Thomas Caulfield: Go ahead, Mehdi.
Mehdi Hosseini: And that has to do with your days of inventory. I think that increase in days of inventory is a reflection of some of the wafer shipment that may be pushed out because of some weakness in the first half. Is that the right way to think about that uptick in DOI?
Dave Reeder: No. In total, if you go back to the end of last year and I'm going back to the kind of end of last year balance sheet, 12/31/21, total inventory has grown only about $200 million on a base of about $1 billion. And if you go through and you look at that, our total inventory, about $1.1 billion of WIP, that is all inventory that's in the line that we expect to ship to our customers on a timely basis. We do not have some large buildup of finished goods inventory. This is work in process that you would expect to grow as you're continuing to increase capacity quarter-to-quarter-to-quarter. And so I would characterize the increase in WIP to date as being very much associated in line with expectation and associated with capacity increases quarter-to-quarter.
Operator: Our next question comes from the line of Rajvindra Gill with Needham.
Rajvindra Gill: Yes. And congrats on solid results in a very tumultuous environment. Dave, I just wanted to follow up on the CapEx commentary, I think you might have touched upon it a little bit. But how do we think about how you manage CapEx in a potential down cycle? During the IPO process this year and next year, there was a significant ramp in CapEx due to some of the capacity expansion plans you have in place and then it would kind of tailor off in 2024. How do you -- what are the drivers or the levers you can push to ratchet back down CapEx if you do see a down cycle or more of a reduction in orders that go beyond just smartphone customers? I'm curious how you're thinking about that over the next year.
Dave Reeder: Sure. Let me give you some high-level thoughts on CapEx. And I'm going to start with free cash flow and I'll end with CapEx. Year-to-date cash from operations about $2.1 billion, year-to-date CapEx, just slightly under $2.1 billion. And so as we enter the third quarter from a free cash flow perspective, cash from ops minus CapEx, we're slightly positive on a year in which we've already spent about $2 billion for CapEx. So I would say just as a framework, very good alignment between our cash generation ability and our investment in capacity. The second thing that I would speak to is our customer demand. So we are actively moving our CapEx to align with our customers' demand. And so while we wanted more CapEx in the early part of this year and our WFE suppliers, they're working hard, were unable to supply us with everything that we needed. We were able to deliver productivity to continue to execute against the LTA commitments that we've made. And so we are banking those productivity gains. And we're now working with the WFE vendors to make sure that we get the critical pieces of tooling that are necessary to still grow the capacity for that customer demand. And as the demand changes, then we'll move and shift the capacity such that we can keep that capacity as best as we're able and in alignment with that customer demand. So our forecast has come down now for the year. Total CapEx for the year is somewhere between, call it, $3 billion to $3.3 billion. As we think about next year, you should think about us considering our free cash flow generation ability in context with our customer demand and trying to match up and align those variables.
Rajvindra Gill: Yes, that's really helpful. And just for my follow-up, you mentioned utilization rates kind of trending a little bit lower in the -- particularly in the 200-millimeter. Wondering if you could quantify what your current utilization rates are going into Q4? And how do we think about the utilization rates going into the first half of 2023 as some of these customers start to reduce orders on the smartphone side?
Dave Reeder: I'll -- let me provide some commentary. I'll try to keep most of the guidance to one quarter. Third quarter, we were essentially fully utilized, very high 90s as a blended utilization rate. When we look at our guidance for fourth quarter, we're probably in the low to mid-90s type of rate, still very highly or fully utilized on the 300-millimeter side with the negative impact to utilization really being on the 200-millimeter side. With respect to 2023, I'll just kind of go back to our prior statements which were we still expect 2023 to be a modest growth year for us.
Operator: Our next question comes from the line of Matt Bryson with Wedbush.
Matt Bryson: It seems like your characterization of the demand environment very much mirrors what your customers are saying. With demand weakness and inventory adjustments predominantly impacting calendar Q4 and the first half of next year, it's good to hear that you're shifting your CapEx plans to fit end market demand. I guess my question is, assuming this scenario indeed plays out, should we expect that the $50 million underutilization costs you're calling out, is that a peak underutilization charge? Or can we expect there's greater underutilization in, say, calendar Q1 when it appears conditions will be at their worst?
Dave Reeder: Yes. I think I'll just stick with guiding one quarter at a time at this point, Matt. I think what you're hearing us articulate is that we believe our long-term growth prospects remain intact, that we believe we can modestly grow through 2023. But I think you're also hearing us say that we are proactively managing the company for cost containment activities to be able to perform regardless of macroeconomic scenario. So I think we'll standpat on that commentary. Do you have any follow-up questions?
Matt Bryson: Yes. My follow-up is when you talk to the expectation of pricing lifts in 2023, should I be thinking about that more as a like-for-like commentary? Or is that more of a statement around where GF's pricing can go given either mix benefits or some sort of premium being attached to locality of supply?
Dave Reeder: Sure. So our visibility on pricing, first and foremost, is really grounded in our LTA visibility. So we are continuing to ramp those LTAs. Not all those LTAs went into effect January 1, 2022. They've continued to ramp throughout this year. There's additional LTAs that we're expecting to come online and ramp with volume in 2023 and those LTAs include better pricing. And so it's hard to separate out some of the like-for-like pricing versus mix but I think what you're hearing us articulate is that if you took those 2 categories together, you're going to continue to see some very modest uplift in ASP per wafer from 2022 to 2023.
Operator: Our next question comes from the line of Tristan Gerra with Baird.
Tristan Gerra: Just looking at your commentary about your expectation that mid next year could be a trough. Is that based on the expectation that the inventory correction actually end at that point? Is that specific to smartphone? And does that mean that you could recapture what you've lost in terms of lower utilization rates in Q4 and potentially in the first half of next year with a rebound in utilization rate in the second half as a result? Understanding your only guide one quarter at a time.
Dave Reeder: Yes. Look, our view on 2023 has really been developed in conjunction with our customers. And so when we think about our future, you think about how much business that we have single source, 90% of design wins, about 2/3 of our volume that we ship today is single source and continuing to grow. And so we work with our customers on their demand profile. And so when we provide some general color commentary on 2023, that sounds similar to that customer base; it's not a surprise. I'm going to hold off providing additional color on 2023 other than to kind of reiterate some of our prior comments which was really that based upon our discussions with customers, we think the first half is the trough. We think that it's perhaps more likely than not first quarter versus second quarter but we'll continue to assess that in collaboration with our customers.
Operator: Our next question comes from the line of Randy Abrams with Credit Suisse.
Randy Abrams: Okay. Yes, I wanted to ask a question just about the relative difference 8-inch versus 12-inch. Could you talk on the 12-inch, the drivers for that strength holding resilient? And then also, do you think it's a timing difference where we should see that correction to come through a little bit later?
Dave Reeder: Sure. Again, I'll speak perhaps a bit to our LTAs. Our LTAs really have -- we have very, very good coverage across our 300-millimeter manufacturing base with regards to LTAs. And so that tends to be where we have added the most differentiation. Certainly, we have some differentiation on the 200-millimeter side with SiGe and GaN and some other products that are quite unique. But really, on the 300-millimeter side, we've got a tremendous amount of coverage from LTAs. And so I think from that perspective, that's why you're seeing the 300-millimeter utilization hold up significantly better than the 200-millimeter.
Thomas Caulfield: Yes. Let me add a couple of points here. We happen to also be playing in markets that are holding up better than others. So when we think about high-end handsets, that holds up better than the low-end handsets. We think about the 5G transition, that's still going -- that's still a growth this year in a number of handsets that are 5G enabled, we play in that segment. So we think of data center, we're a strong partner with someone who is gaining share in data center and we're a supplier to that. So some of the damping we're seeing is not only the breadth of the end markets we play in but some of the sub parts of that, that are still very strong and some of the customers in those segments that are doing well.
Randy Abrams: Good. That's helpful. And the second question I wanted to ask, I wanted to follow up the $200 million OpEx is quite sizable relative to the annual base. Just curious, given the plans to continue to grow the footprint, grow into more specialty, if you could give a few buckets where you're seeing good room to make those type of reductions. And then just one housekeeping. With the CapEx change, how you see the depreciation changing year-over-year into next year?
Dave Reeder: Sure. So let me take those in order here. With respect to OpEx, we've -- rough and tough numbers, it's about $1 billion in OpEx, probably closer to $900 million, if you were to do the rounding $1 billion. So when you think about the split of the $200 million annualized, you're probably talking 2/3, 1/3 OpEx versus COGS. So when you think about that type of spend and you think about the opportunities that we have in those areas, I think between professional services, travel, entertainment, labor, of course, we're looking at all of the levers for addressing our spending to be able to enter any environment. And so I think we've got -- we've got opportunities in all those areas to become more productive. And quite frankly, we had a series of plans to drive productivity over a multiyear period. And so I would characterize a lot of this as kind of the acceleration of some of those plans versus having to create or craft new ones as we go. So I think that's where we stand with respect to OpEx. We're assessing that today. As I mentioned, we'll provide more details as we continue that assessment. With regards to CapEx and managing CapEx with respect to gross margin as well as a percentage of revenue, I think what we've been able to do this year is we've been able to drive more productivity this year than we previously expected. And so while we were delayed in terms of receiving new equipment to be able to ultimately deliver more wafers, we were able to find a way in credit to 15,000 hard-working employees that we're able to find a way to drive that productivity to deliver those wafers without some of those tool shipments. So that created the opportunity for us to push out some of the CapEx and better match some of that CapEx with our customers' demand. That's something that we've been able to do kind of through the latter half of this year. It's something that as we head into 2023, we expect to be able to continue to do, drive productivity and match our utilization as well as our capacity expansions up to customers' demand.
Sukhi Nagesh: We'll take one last question, please.
Operator: Our last question comes from the line of Melissa Fairbanks with Raymond James.
Melissa Fairbanks: Great. I just have a couple of quick ones. I know you're tired of talking about 2023 expectations. But with the auto growth rate, it seems to imply a pretty steep ramp to get to that $1 billion run rate target. Is there any sort of linearity that we should be assuming? As in, is this tied to model year launches driving more of a step function increase kind of toward the back half of the year? Or should it be a smoother path through the year?
Dave Reeder: No. We expect it to be pretty linear. We've been capacity constrained on some of our automotive business. In fact, I'd say on the majority of our automotive business. What some of this rebalancing of demand has enabled us to do, it's enabled us to prioritize a little bit more of the automotive demand. You saw us, for example, smart mobile devices decline to 46% of total revenue versus 50% a year ago period. As we continue to grow automotive, you're going to see us have a much better product mix balance that goes out into the marketplace. So, we're able to rebalance that capacity as well as add some new capacity in some strategic areas to be able to take automotive up in what we expect to be a pretty linear way throughout next year until by the time we exit fourth quarter next year, we're kind of at that $1 billion annualized run rate.
Melissa Fairbanks: Okay, perfect. And maybe just a quick follow-up on the CHIPS Act. To the extent you may be more tightly controlling CapEx in the near term, do you know if there are any restrictions to the incentives? Like once you submit an RFP, do you expect to be bound to that? Or is it too early to know how this is going to kind of flow through?
Thomas Caulfield: Look, I think that's too early to know. I also think the pragmatic approach is no one wants to see capacity built and not being used. That becomes a real waste for everybody. So I think there'll be a very pragmatic approach. And GF will lead the way in making sure that we have -- not only that we have the right funding model to get the return but we have the right durability and commitment that we know that capacity will be utilized. And I think the -- Washington will want to see the program executed just that way.
Operator: That concludes today's question-and-answer session. I'd like to turn the call back to Sukhi Nagesh for closing remarks.
Sukhi Nagesh: Thank you, Liz. Thank you, everyone, for joining us on the call today. Please feel free to reach out if you have any additional information or questions you need answered from GF. Thank you.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.